Operator: Greetings, and welcome to the Antero Midstream 3Q 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Brendan Krueger, Finance Director. You may begin.
Brendan Krueger: Thank you for joining us for Antero Midstream’s third quarter investor conference call. We will spend a few minutes going through the financial and operating highlights, and then we will open it up for Q&A. I would also like to direct you to the homepage of our website at www.anteromidstream.com, where we have provided a separate earnings call presentation that will be reviewed during today’s call. Today’s call may also contain certain non-GAAP financial measures. Please refer to our earnings press release for important disclosures regarding such measures including reconciliations to the most comparable GAAP financial measures. Joining me on the call today are Paul Rady, Chairman and CEO of Antero Resources and Antero Midstream; Brendan Krueger, CFO of Antero Midstream, and Michael Kennedy, CFO of Antero Resources and Director of Antero Midstream. With that, I will turn the call over to Paul.
Paul Rady: Thanks, Dan. First and foremost, the third quarter was one of the more momentous quarters for Antero Midstream since our IPO in 2014. During the quarter we generated $30 million of free cash flow after dividends and began paying down debt. We have been talking about this critical inflection point for several quarters and it has finally arrived. Second, we announced our first organic acquisition of gathering and compression assets in the Marcellus Shale, which are highly complementary to our current assets. This acquisition is not only a strategic fit for AM, but further enhances our free cash flow profile, as Brendan will discuss in his remarks. To take a closer look at the acquisition, I will direct you to Slide number 3 titled Marcellus bolt-on acquisition. We closed this $205 million acquisition from Crestwood earlier this week, and we have started integrating the asset and a number of former Crestwood employees into the AM platform. As you can see on the map, the primarily dry gas gathering and compression system is highly complementary to AM’s existing footprint in the core of the Marcellus Shale. The acquisition increases Antero Midstream compression capacity by 20%, and gathering pipeline mileage by 15%. Importantly, the assets have significant available capacity for growth without material capital investment. As we look at the asset, today, we have identified over $50 million of discounted future capital avoidance, through connecting the system to AM’s assets and rerouting the volumes to fill underutilized compression capacity. We also plan to move and reuse underutilized compressor units into the liquids rich midstream corridor, similar to the reuse opportunity we discussed on last quarter’s conference call. This results in both capital and operating expense synergies. Most importantly, the acquisition includes approximately 425 undeveloped drilling locations held by AR that will be dedicated to AM for gathering and compression. I think it is important to reiterate this significant undeveloped value and optionality which extends AM’s underlying inventory well into the 2040s. In addition to this acquisition year-to-date, Antero Resources has added approximately 60 locations through its organic leasing program. This has effectively replenished the underlying inventory at AM for all the wells completed in 2022. When you combine these 60 locations with the 425 undeveloped locations on the acquired assets, this 485 additional locations represents an incremental six to seven years of highly visible economic well connects for AM. Importantly, AR’s organic leasing program is predictable, repeatable and cost effective. The ability to consolidate acreage in close proximity versus acquisitions that often add scattered locations dedicated to other midstream companies provide significant capital efficiencies and long-term visibility for AM. This characteristic is unique to AM and one of the reasons we continue to generate peer-leading returns on invested capital in the mid to high teens. Now let’s move on to Slide Number 4 titled Milestone Capital Projects Completed. This slide illustrates the major compression and high pressure gathering projects that we have constructed over the last 18 months highlighted in green. During the second quarter, we completed Phase 1 of the Castle Peak compressor station, which added 160 million cubic feet a day of compression capacity in the liquids rich midstream corridor in Tyler and Wetzel counties. Phase 2, which will re-use underutilized compressor units will add another 80 million cubic feet a day of capacity in 2023. During the third quarter of 2022, we finished construction on our 20 mile high pressure pipeline from Tyler and Wetzel counties that delivers liquids rich gas to the Sherwood and Smithburg processing complexes. With these milestone projects now complete, the stage is set for highly visible throughput growth from the liquids-rich midstream corridor that drives EBITDA growth at AM for the next several years. In addition, AM’s capital budgets will continue to decline, which will drive expanding free cash flow and declining leverage. In summary, we generated significant momentum at AM during the quarter, further de-risk the business model and crystallize the outlook over the long-term. Our capital budgets will continue to decline, driving and expanding free cash flow profile. Our unparalleled long-term visibility gives us tremendous confidence in delivering this plan and continuing to generate shareholder value. With that, I will turn the call over to Brendan.
Brendan Krueger: Thanks, Paul. I will start my comments by briefly highlighting our ESG achievements, and then move on to the quarterly results and outlook at AM. Slide 5 illustrates our ESG achievements. First, Antero Midstream was recently named to the top 100 Best ESG Companies by Investors Business Daily, highlighting the significant strides we have committed to on the ESG front. Moving to our high safety standards, last year represented the 7th straight year without an employee loss time incident. We are incredibly proud of our employees and their relentless dedication to the health, safety and well-being of our workforce. This year, we also added Scope 1 and Scope 2 GHG emissions to our net zero goals. We anticipate achieving a 100% reduction in pipeline emissions by 2025 and net zero Scope 1 and Scope 2 emissions by 2050, through increasing operational efficiencies, carbon reduction initiatives and the purchase of carbon offsets. I will finish my ESG comments with some impressive statistics from AM’s water system and operations, which is the largest in Appalachia. In 2021, we reused or recycled 87% of the water used in completion. This, along with our integrated freshwater delivery system, allowed us to eliminate 16 million truck miles and 34,000 tons of CO2 equivalent compared to trucking the water. This approach is not only environmentally friendly, but reduces the impact to our local communities and is incredibly cost efficient. Now let’s move on to the quarterly results on Slide 6, titled year-over-year -. During the third quarter, AM’s low pressure gathering volumes were nearly 3 Bcf a day, a 3% increase year-over-year. Compression volumes were 2.8 Bcf a day a 1% increase year-over-year. The year-over-year volume growth was driven by the gross production growth from the drilling partnership. Looking ahead, we expect mid single digit sequential throughput growth in the fourth quarter compared to the third quarter driven by two months of contribution from the acquired assets. From there, we expect further acceleration of volumes in the first quarter of 2023 to drive mid single digit throughput growth in 2023, as compared to 2022. Moving on to the water side of the business, fresh water delivery volumes in the second - in the third quarter averaged 103,000 barrels per day with 18 well serviced. In addition to servicing 18 wells for AR, we sold approximately 5000 barrels per day to a third-party that generated approximately two million in revenues. We continue to look for third-party business opportunities such as these to complement the steady and predictable cash flows from our primary customer AR. I will finish my comments on Slide 7, titled free cash flow inflection point. During the third quarter, we generated $30 million of free cash flow after dividends. With AM trending towards the lower end of our capital budget guidance, we are now expecting to be at the top end of the free cash flow guidance range. Looking to the years ahead, we expect to generate increasingly positive free cash flow after dividends. This is driven primarily by declining capital, as we recently completed some of the key growth projects Paul discussed in his remarks. This declining capital profile allowed us to pay down debt during the quarter and gave us the confidence to finance the Crestwood acquisition on a revolving credit facility. In addition, as a result of the acquisition, we are trending above the high-end of the five-year free cash flow targets. We will look to provide more formal updates to the long-term targets when rollout our 2023 budget. Importantly, and consistent with our prior expectations, pro forma for the acquisition, we still expect to achieve that three times leverage target in 2024. Once we achieve this target, we will be in a position to evaluate or the return of capital strategies. In summary, I would like to echo Paul’s earlier comments. It was a tremendous quarter from a strategic and financial standpoint in AM we acquired strategic photon assets that add several years to the underlying inventory dedicated to AM and we direct the business model by transitioning to generating consistent, repeatable free cash flow after dividends. With that operator, we are ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Marc Solecitto with Barclays. Please proceed with your question.
Marc Solecitto: Hi good morning. So with this Shell ethane cracker starting up in August, curious your views around whether that potentially allows for a modest acceleration in drilling activity in the Northeast with more ethane coming out of the residue gas stream, and how that potentially affects your outlook for next year if at all?
Michael Kennedy: Yes, I mean, I think when you when you break it down in terms of overall incremental capacity for gas in the northeast, it is about 250 a day of incremental capacity. So not really material in our view to the just overall macro environment on gas supply.
Marc Solecitto: Got it. And then recognize it might be a bit early for this, but with the reference capital savings as part of the recent bolt-on acquisition, and last quarter, you identified some capital savings associated with compressor relocations. So just wondering if there’s any context that you could provide around the CapEx outlook for next year?
Michael Kennedy: I think, it will certainly provide more formal guidance. I don’t think from what we provide earlier, I think 215 to 225, was the earlier guidance. Hopefully some tailwind behind that, but we will certainly come out with more formal guidance as we get further along in the year.
Marc Solecitto: Got it and then maybe if I could just squeeze one last one in here. Looks like third-party water revenues ticked up in 3Q. Just wondering if you could elaborate on that. Would you expect that to continue and/or are there more opportunities out there?
Michael Kennedy: No, that was a great opportunity, I think for AM. We certainly are looking for additional opportunities like that where you have operators that have a pad in the vicinity, where we can deliver freshwater volume to them. So we will certainly look to continue. I think given ARs large, contiguous acreage position out here, there is not a lot of third-party water opportunities. But we will certainly continue to look for some of those.
Operator: Next question comes from the line of John Mackay with Goldman Sachs. Please proceed with your question.
John Mackay: Hey everyone. Thanks for the time. I want to start on 2022 guidance maybe and I know you guys don’t typically update kind of annual numbers quarter-to-quarter. Just wondering the close of the deal - are you looking at any offsets for EBITDA this year maybe on OpEx side that would kind of leave you in the current range or is the kind of original range intact and then we think of any deal contributions this year, just on top of that?
Paul Rady: Yes, I think, we did not update the range. But we do expect to get those additional contributions. And as we talked about, do expect sequential growth as a result of that acquisition. So no changes the guidance, but certainly would add the incremental contributions on top of the guidance we provided.
John Mackay: Got it. Okay, thanks for that and then maybe just looking forward, actually, maybe one in the - here, sorry. Just on the Smithburg to sale or reimbursement, whatever we want to call it. Is that a broader change in how you guys are thinking about this JV or is it really just a reflection of the fact that, we are probably not going to see much more from you guys capital in that direction? Just trying to figure out if there is a bigger thing going on here?
Paul Rady: No, that is bigger. I think that was, it was the equipment related to refer to we still have all the sites available, should we elect to move forward with another plant down the road, but this was one. As you look in the outlook with AR and a maintenance capital plan, you just don’t need that plant. The other plants can run at about 110% of capacity. And so you have got incremental capacity, should you need it without the need for some effort to so it was non productive capital on AM’s balance sheet. So it is good to get that reimbursement of that capital in the quarter.
John Mackay: Good, okay it makes sense. I will leave it there. Thank you.
Operator: Our next question comes from the line of Jeremy Tonet with JP Morgan. Please proceed with your question.
Jeremy Tonet: Just wanted to kind of figure some stuff out maybe at a high over the base, and we are hearing about a number of, I guess, midstream issues in the quarter in impacting a number of producers and just wondering. Is there any impact on your system that happened this quarter or might be happening in the future? And are there any mitigation plans if so or just any color I guess in general in the midstream outlook for the basin? Is there any downstream issues that might impact you?
Paul Rady: No, I think on the issues that we have certainly heard about have been more related to the gathering and water side of the business in basin. I think they are very unique and strong distinction with AM and it is primary Customer AR is having that integration between the two parties. We have not seen any of those issues. AR has never to defer well as a result of AM being late with infrastructure. So very unique that we can continue to predictably operate in and deliver I think the development plans that we have laid out where you are seeing a lot of issues with others that have more difficult to put it nicely I think relationships between the upstream and midstream operator.
Jeremy Tonet: Sorry. So just to clarify then, as far as - there is no like NGL pipelines downstream of your system, no issues on any of those assets that might impact your outlook?
Paul Rady: No. We haven’t had issues during.
Brendan Krueger: We did have one day in early October that we referenced in the AR, but it was just a 20 hour downtime. That is maybe what you are - it would be less than 10 million a day or so.
Jeremy Tonet: Got it. That is helpful. Thanks. And then pivoting I guess to the balance sheet to the conversations at the agencies here. Just wondering if you could update us a little bit on outlook there and AM’s rating vis-à-vis where AR is and if AR is getting to a net cash position, how might that impact their road to IG and AM’s credit outlook as well?
Paul Rady: Yes. So on the AR side, we did get a Fitch investment grade rating recently in early September. We were on the S&P and Moody’s front continue to push there for the IG rating as well. So depending on when you get an upgrade there, you should see some follow through at the AM level. But it certainly is difficult to predict when you will get those rating upgrades from S&P and Moody’s, but we do expect that to happen at some point, just don’t know when that timing will occur.
Jeremy Tonet: Got it. And just a last one, if I could, with the lawsuit deal loss. Just wondering any color there and timeline going forward?
Paul Rady: Yes. No update from what we provided before. Just waiting on feedback from the court at this point.
Jeremy Tonet: Okay. I will leave it there. Thank you.
Paul Rady: Thanks Jeremy.
Brendan Krueger: Thanks Jeremy.
Operator: Our next question comes from the line of Michael Cusimano with Pickering Energy Partners. Please proceed with your question.
Michael Cusimano: Hey, team. Thank you for taking my questions. I just wanted to start if you can comment on how the AR completion schedule that I believe was accelerated in the fourth quarter affects AM’s run rate in 2023?
Paul Rady: Yes. So there is one pad that AR talked about accelerating into the fourth quarter. So really it is about a month of move up and when that would be placed to say, also you will see some sequential growth, further sequential growth in first quarter than what of that otherwise.
Michael Cusimano: Okay, got it. And then one follow on second one too. Can you comment on where the buyer intends to use that equipment? Is it saying in basin or is it somewhere else or another basin?
Paul Rady: Yes, I don’t think we can comment on where that is going in particular.
Michael Cusimano: Alright. That is all for me. Thank you.
Paul Rady: Thanks.
Brendan Krueger: Thanks Michael.
Operator: And our next question comes from the line of Michael Bradley with Tudor, Pickering, Holt. Please proceed with your question.
Michael Bradley: Hey good morning guys. Just on the OpEx front, now that you all spoke on the AR call around the expectation that unit costs should come down in Q4 and into 2023. Is variable costs related to power and fuel, normalize a bit. I just wanted to get your thoughts on how much of a pullback and these kind of costs you are expecting it to AM level over the next couple of quarters and whether we should think kind of as Q1 as a good reference point, as we look to Q4 or if we could see something kind of more in between the Q1 and what we have seen over Q2 and Q3?
Paul Rady: Yes, I think overall at AM and OpEx has been relatively consistent, so I would expect what you have seen in Q3 would, you would maintain into Q4. AR is more driven by commodity prices driving the fuel there AM, I would just assume consistency from Q3 going forward.
Michael Bradley: Okay, got it. And then just following up on Michael’s question, on the incremental AR pass that you are expecting, is there any possibility that those freshwater volumes could at least partially hit in Q4? Or would you expect substantially all to materialize in Q1 just given the late December timeframe?
Paul Rady: Yes, I mean, I think a lot of those volumes you already had coming in Q4. So you may see a little bit of incremental in Q4, but not in the material manner. You weren’t going to complete most of those, those wells during Q4 to begin with, it is just being accelerated slightly.
Michael Bradley: Okay, got it. Thanks for all the time.
Paul Rady: Sure.
Brendan Krueger: Thanks Michael.
Operator: And our next question comes from the line of Ned Baramov with Wells Fargo. Please proceed with your question.
Ned Baramov: Hi, thanks for taking the questions. Maybe one on cash taxes, I believe in the past, you have stated you do not expect to be a cash taxpayer until the 2030s. So can you provide your updated timeline in light of the 15% alternative minimum corporate tax provision in the Inflation Reduction Act?
Paul Rady: Yes, so we have given our targets out through 2026 and continue to not expect to be a material cash taxpayer over that time period. I think as we as we continue to roll forward targets, will provide more updates, but no expected material cash taxes as a result of that change. In AM you would be below that million dollar threshold anyway. So no expectation for that to be applicable there for the AM free threshold.
Ned Baramov: Got it. And then a quick question on maybe if you can talk about the expected synergies from the acquisition of Crestwood Marcellus assets. So how much of the 50 million of net present value is CapEx avoidance? I think Paul’s comments noted that all of this is CapEx avoidance, but I thought there is maybe some operating synergies embedded in there. And also what is the timeline for the realization of the full suite of synergies? Thank you.
Paul Rady: The 50 million, the vast majority of that is CapEx avoidance, not having to build a compressor station as a result of the compression capacity that we are acquiring here and being able to connect to AMs current system. And then there is a little bit in terms of just OpEx savings as a result of being able to shut down some of the capacity that was running and direct elsewhere. So of the 50 call it 10% OpEx, 90% is capital avoidance.
Ned Baramov: Got it. Thank you.
Paul Rady: Thanks.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call back over to Dan Katzenberg for closing remarks.
Daniel Katzenberg: Thank you everyone for joining us in the call today. If you have any further questions, please reach out. Have a good afternoon.
Operator: And this concludes today’s conference and you may disconnect your line at this time. Thank you for your participation.